Operator: Good morning, and welcome to the MoneyGram International Fourth Quarter and Fiscal Year 2013 Earnings Release Conference Call. Today’s conference is being recorded. At this time, all participants have been placed in a listen-only mode, and the floor will be opened for your questions following the presentation. It is now my pleasure to turn the floor over to your host, Eric Dutcher, Vice President of Investor Relations. Please go ahead, sir.
Eric Dutcher: Thank you. Good morning, everyone, and welcome to our fourth quarter and fiscal year 2013 earnings call. With me today are Pam Patsley, Chairman and Chief Executive Officer; and Alex Holmes, Executive Vice President, CFO and COO. Our earnings release and accompanying slides are on our website at moneygram.com. Please note that today's call is being recorded and some of the information you’ll hear will consist of forward-looking statements. Actual results or trends could differ materially from our forecast. For more information please refer to the risk factors discussed in our Form 10-K for 2012 and third quarter 10-Q. Our 2013 10-K will be filed in accordance with the required timeline. MoneyGram assumes no obligation to update any forward-looking statements. Our discussion also includes certain non-GAAP financial measures in an effort to provide additional information to investors. All non-GAAP measures have been reconciled to the related GAAP measures in accordance with SEC rules. You’ll find reconciliation charts within our earnings release issued this morning and in the Form 8-K submitted to the SEC. Now I’ll turn the call over to Pam.
Pamela H. Patsley: Great. Thanks, Eric. Good morning, everyone. 2013 was a great year for MoneyGram. We exceeded the outlook we set at the beginning of the year. Our money transfer transaction growth of 13% for the year and 11% for the quarter was well above the mid-single-digit industry growth. We extended our streak of double-digit constant currency money transfer revenue growth. MoneyGram is now a $1.5 billion annual revenue company. Our money transfer constant currency revenue growth of 12% for the year was especially impressive considering the numerous competitor discounts implemented during 2013 and we realized an effective price compression for the year of about 1%. We’re quite pleased with our results. Our self-service money transfer revenue grew 38% in the quarter, now representing 7% of money transfer revenue. In addition to strong self-service growth, our U.S. outbound category maintained its momentum, posting transaction growth of 18% for the year and for the quarter. December results were weaker than we would have liked, partially driven by colder weather in the U.S. along with softness in Southern Europe and the previously announced tightened compliance measures in Italy. However, January has shown signs of improvement, posting 13% transaction growth with acceleration specifically in sends originated outside of the U.S. Our international quarter development strategy is yielding good results, especially in younger markets for MoneyGram such as Saudi Arabia, Russia and Asia. Our Asian locations grew 8% to 336,000, which is a healthy number considering we are growing over big signings in 2012. We also had some aggressive agent cleanup in 2013. As I said before, this number will fluctuate based on the timing of adding large agent networks. As we grow more in self-service channels, we expect to realize more transaction growth leverage vis-à-vis our network growth. For example, when we active a relationship with a digital wallet or other online partner, it adds many additional access points where a consumer can transact, but the relationship counts this one location and our total number, like we’ll do a wallet partner in Qatar. Our top-line money transfer growth along with interest savings generated from debt refinancing led to outstanding cash generation, yielding adjusted free cash flow of $149.8 million for 2013, a year-over-year increase of 29%. This strong free cash generation allows us to invest in building for our future. As I reflect on the last few years at MoneyGram, I’m extremely proud of how far we've come. We’ve spent much effort in the last few years addressing legacy issues, redesigning the company for growth and creating a culture focused on our core money transfer consumers and agents. As a result, we’ve achieved several years of double-digit money transfer transaction and revenue growth as well as strong network expansion, outgrowing the market at more than twice the industry growth rate. However, legal and regulatory requirements for the financial services industry continue to increase. Thus, to continue our success we need to clear a higher bar. We will be accelerating our investments to transform MoneyGram for the future. Our goal is to achieve $2 billion in annual revenue in 2017 where this came to 20% of money transfer revenue from self-service channels and with higher adjusted EBITDA margins than we have today. To achieve this, we are reorganizing and investing in a global transformation program to support compliance enhancements, fund the monitor and continuing legal costs, fuel multi-channel growth and to do all of that we also must improve our cost structure. This is an important initiative. So we will have a reduced discussion today on the regional activities in order to share our plans and goals of this program. The initial step in this transformation is to realign the organization. To help lead this transformation I’m so pleased to say that Alex Holmes has been named Chief Operating Officer. He will also maintain his current title and responsibilities as EVP and CFO. In his expanded role Alex will oversee all of the MoneyGram’s finance, technology and operations functions. Since joining MoneyGram in 2009, Alex has been a tremendous asset to MoneyGram across multiple areas of the Company. I’m confident he will extend the same energy and creativity to his new responsibilities, which as CFO and COO obviously includes leading the global transformation program. Designed to position MoneyGram for the future, the global transformation program has three pillars. One, advance our global compliance leadership and focus on combating fraud by implementing additional market-leading systems, technologies and processes. Two, accelerate our growth and double our self-service business as a percentage of money transfer revenue over the next three years. And three, reorganize and restructure to take cost out. Since 2009, MoneyGram has invested more than $120 million in its compliance and anti-fraud programs, successfully preventing more than $365 million in fraud losses with $135 million prevented in 2013 alone. In 2013, we also launched the Scam Awareness Alliance, emphasizing our commitment to consumer education regarding frauds and scams. As you know, we have a monitor that was selected by the DOJ last year. In 2013, we spent much of the year focusing on enhancements required under the 2012 deferred prosecution agreement, including supporting the monitors mandate to evaluate MoneyGram’s adherence with the DPA. The first annual monitor report was provided to MoneyGram in November and as anticipated MoneyGram is required to make investments ranging from enhanced systems to more resources deployed in the field. The report direction was consistent with our expectation. However, the timeline for implementing these changes is aggressive and shorter than we anticipated. Most of the major upgrades will need to be implemented in the next 12 months, which frontloads many projects that we would have otherwise phased in over a bit longer period of time. As we have said before, compliance costs have increased every year since 2009 and they will again in 2014. In general, MoneyGram is being directed to implement market-leading tools, enhance transaction aggregation and reporting capabilities and upgrade our back office and consumer-facing processes. Much of this requires the creation of functionality that does not exist in the market today. These enhancements are designed to protect consumers who fall victims to the various fraudsters and criminals who attempt to utilize our services for their illegal purposes. Again, while we’ve been increasing the amount we spent on compliance each year, in December 2013 we officially launched our compliance enhancement program. We are singularly focused on improving our services for the MoneyGram consumer and completing the program on schedule. Given the increasing importance and strategic benefit of a world-class compliance function, MoneyGram’s Chief Compliance Officer, Phyllis Skene-Stimac has joined the executive committee and will report directly to me. The second pillar of our global transformation program includes investment and accelerating the growth of our self-service channels business through our multi-channel strategy led by consumer choice and convenience. Our increased investment in the growth of MoneyGram Online and mobile, account deposit services, kiosk-based and money transfer options will enable us to achieve our goal of generating 15% to 20% of money transfer revenue from self-service channels in 2017. To reach this objective MoneyGram will expand self-service to more markets, implement user enhancements, improve back-end processes and market more aggressively in self-service channels. These channels have performed extremely well, recording 30% growth for the full year 2013, but we want to do more. We believe non-cash channels are incremental to our existing strong cash-to-cash business and that MoneyGram can continue to strengthen our overall market position with accelerated investments. As mentioned last year, one step towards this goal was centralizing our product development and execution under one leader, Alex Hoffmann, our Head of Global Product and Emerging Channels. Alex and his team have crafted a compelling strategy to accelerate growth in our already successful MoneyGram Online mobile and account deposit services. As our acquisition of the Nexxo kiosk business in 2013 indicated we will also increase our self-service presence by rolling out staging and full-service kiosks around the globe. The final pillar of our global transformation is the launch in 2014 of a global reorganization and restructuring project. Taking on a large scale compliance initiative along with continuing to grow in self-service channels we’ll require substantial investment. We must observe the long-term cost of increased compliance spending, monitor cost and investments in self-service channels by reducing our cost structure in other areas. Again, in short, we must take cost out. Our initiative is centered around facilities and headcount rationalization, system and process efficiencies and headcount right-shoring and outsourcing. Our consumers count on us for their financial service products, most importantly sending money to provide for life essentials. The global reorganization and restructuring will enhance competitiveness, improved profitability and better align the business model with a multinational organizational structure. With the stage set for the future, let’s quickly look through some of the regional activities from the fourth quarter. U.S. to U.S. sends represented 29% of money transfer transactions and 25% of revenue in the quarter. Transaction growth of 7% was consistent with third quarter level. U.S. to U.S. revenue growth of 11% was well above transaction growth due to positive price adjustments at select agents. Our MoneyGram Online service contributes significantly to this quarter and if it were treated as a state, it would be our second largest spending state in the U.S., certainly a positive indication of the value of offering our service through both physical and virtual channels. During the quarter, we announced the renewal with Albertsons and an agreement with New Albertson’s, which includes Jewel-Osco and Shaw's brand stores. As mentioned, colder weather and fewer days between Thanksgiving and Christmas contributed to a slightly slower December. The growth for the quarter was still very solid. U.S. outbound remittances represented 36% of total money transfer transactions and 29% of money transfer revenues for the quarter. Both transaction and revenue growth were strong at 18% and 14% respectively. U.S. to Mexico continued its fast pace with 34% year-over-year transaction growth. We continue to gain share in the U.S. to Mexico quarter. We are now over 12% market share. During the quarter, we renewed our relationship with Calimax, a grocery store chain operating in Mexico, and expanded the agreement to include send capabilities. U.S. to the rest of the Latin America and Africa generated solid quarterly results, while U.S. to Asia Pacific and Indian subcontinent slowed primarily related to tough comparisons and less favorable exchange rates namely the rupee. U.S. outbound transaction growth has now had three quarters in a row of year-over-year growth near 20%, a clear indication we are outpacing the industry. Since originating outside of the U.S. we’re muted in the quarter due to the weakness in Southern Europe, competitive pricing and compliance limits in certain markets. Transaction and revenue growth were both 8% in the quarter. However, given our strong performance throughout the year, we still achieved double-digit growth for the full year with transaction growth of 13% and revenue growth of 12%. New agent signings continued to lead growth in Latin America. In Ecuador, we signed Farmacias Económicas, adding a second global money transfer brand for its consumers. Elsewhere in LAC, we added significant new agents in Nicaragua and Guatemala while renewing large agent agreements in Honduras and The Dominican Republic. Specific to Europe, I’m very excited to share that we signed Debenhams, a U.K. department store has a new MoneyGram agent. We were also pleased to renew our long-standing contracts with Thomas Cook in the quarter. The renewal was also expanded to include an additional 275 Co-operative Travel locations that will come on board early next year and that's a competitive takeaway. Our local marketing efforts are paying dividends as we were recently named the second most improved brand in the U.K. according to a consumer poll with Netflix as the most improved. In Portugal, we completed the rollout of our services to Banco Espírito Santo, the largest private Portuguese financial conglomerate with over 600 locations. Eastern Europe performed very well. During the quarter, we added nearly 1,000 locations in Eastern Europe. Robust growth in Germany was complemented by outstanding growth in Turkey following our launch with DenizBank, a competitive takeaway. Our Russia expansion is proceeding well and our growth has been excellent. We're also very excited about our growth in the Middle East. In particular, we are extremely pleased to have added our second agent network in Saudi Arabia, Bank Aljazira, one of the leading financial institutions in the country. Saudi Arabia is the second largest sends market in the world and our growth in the region bodes well for the future. Also, in the region we signed an agreement with National Bank of Egypt, the largest bank in the country with more than 300 locations, further positioning the MoneyGram brand for significant growth in this important send and receive country. Looking further east, we had an outstanding quarter in Asia Pacific. We signed an agreement with China Postal Bank, which has over 3,700 locations and also important to the region, we renewed our agreement with UAE Exchange in Australia. While growth of sends originated outside the U.S. was modest, robust as it had been in the past, we’ve seen a good uptick in our January numbers. If merit is repeating that our money transfer business delivered yet another consecutive quarter of double-digit money transfer transaction in constant currency revenue growth. We’ve achieved great results on the strengths of our brand, product and team. I am pleased to announce the promotion of several leaders to focus on sales and revenue, emerging markets and developing innovative new products. Alex Hoffmann, Grant Lines and Peter Ohser have all been promoted to Executive Vice President. Their leadership and significant accomplishment has certainly contributed to MoneyGram's past success and will help accelerate growth in new markets and products in the coming years. Now let's move forward to our self-service channel. During the quarter, self-service channel revenue grew 38% and it now represents 7% of total money transfer revenue. We had strong performance driven by our online kiosk and mobile partners. MoneyGram Online transaction growth was 32% with revenue growth of 27% with large gains in the U.K. and Germany. During the quarter we signed an agreement with the number one bank in Sri Lanka, Commercial Bank of Ceylon, to provide account deposit services to nearly all bank accounts in Sri Lanka. With DCOM in Japan we are partnering for online bank account cross-border remittances. The services offers consumers choice in sending and receiving funds directly from their bank account or receiving cash at a DCOM location. We are really excited also about our new agreement with Vodafone, which will allow our senders to load funds directly into an M-Pesa account. Just in Kenya alone M-Pesa has over 11.6 million active users. Between the MoneyGram Online platform and our Virtual Agent relationships MoneyGram consumers can now transact online or through a mobile device in over 10 countries and we’re continuing to invest in the channel to accelerate growth. Now, let’s take a look a bill payment, which represented 7% of total revenue. For the fourth quarter transactions were flat with a 2% revenue decline. The trend for both transactions and revenue is improving and our bill payment business remains an integral part of our U.S. service offering. We continue to further expand into new verticals and during the quarter we announced broadening into the healthcare industry, offering a convenient and affordable payment solution for consumers to pay cash for their insurance premiums and other healthcare costs. MoneyGram will expect payments for more than 200 healthcare companies. Our global transformation program will also accelerate investment in self-service bill payment solutions, which represents 5% of our total bill pay revenue today. Alex will now provide more color on our financials, global transformation and our outlook. Alex?
W. Alexander Holmes: Thank you. As Pam highlighted earlier, we had a great year with solid top line and bottom line performance, which both came in at the high end of our outlook. For the full year, total revenue increased to healthy 10% to $1.5 billion, in line with our guidance on the strength of our money transfer revenue, which increased an impressive 12% on both the reported and constant currency basis. Investment revenue was $17.6 million, up $5 million from the prior year as a result of higher returns on investments. In the fourth quarter, total revenue grew 9% to $385.8 million. Money transfer revenue increased 11% on a reported basis and 10% in constant currency. Investment revenue was $4.1 million, up $1 million compared to the prior year. For the full year, adjusted EBITDA was $295.5 million, up 6% on a reported basis and 5% on a constant currency basis. Full year adjusted EBITDA margin was 20%, down about 80 basis points compared to the prior year. Direct monitor costs were $6.1 million for the full year and impacted margin by 40 basis points. As you know, we did not adjust for monitor cost in 2013. However, to provide clear operating metrics we planned to adjust these costs in 2014, but more on that in just a minute. For the quarter, adjusted EBITDA was $76.4 million, up 7% as reported and 5% on a constant currency basis. Adjusted EBITDA margin was 19.8%, down about 40 basis points compared to the prior year. Direct monitor costs were $2.5 million in the quarter and impacted adjusted EBITDA margin by 65 basis points. In thinking of both full year and fourth quarter margin, we are certainly pleased with our performance. Throughout the year margin was impacted by higher than planned direct monitor costs, various compliance related investments for staff in the field and back-office support along with increased commissions expense related to faster growth and higher commission corridors [ph] and previously disclosed increased commissions rate related to certain key agents. Continued focus on volume growth and expense reductions help mitigate the decline in margin and help us to perform in line with our expectations. During the quarter, total reported operating expenses increased 9% over the prior year, primarily related to the higher compliance costs in increased agent and revenue support costs. Compensation costs increased 10% for the full year on a reported basis as a result of increased head count and the achievement of higher performance incentive compensation metrics. Fourth quarter transaction and operations support costs were $74.4 million and included $2.7 million of expense related to the compliance enhancement program, which we launched in December. Adjusting for MDPA costs and the monitor transaction and operations support costs improved 80 basis points over the prior year. Interest expense was $10 million in the quarter and as a result of our debt refinancing we were able to realize interest expense savings of $7.7 million in the quarter and $23.6 million for the full year. Book income tax expense for the year was $32.9 million and a rate of 38.6%. Adjusted free cash flow for the quarter was down 10% to $21.7 million as a result of increased signing bonus payments made in the quarter. Fourth quarter capital expenditures were $11.6 million and signing bonus payments were $26 million. Cash taxes in the quarter were $7.8 million, mostly related to foreign entity tax filings. Adjusted free cash flow for the year was up 29% to $149.8 million. This was driven by strong money transfer results and lower interest payments. CapEx and signing bonuses for the year came in at the low end of our outlook, mostly related to the timing of certain payments which pushed into 2014. We ended the year with assets in excess of payment service obligations at a very strong $318.8 million, up from $309.7 million at the end of the third quarter and up $91 million from the end of last year. Outstanding debt principal was $843.6 million. Turning now to the segments. For the quarter, total revenue in the Global Funds Transfer segment increased 10% to $365.4 million led by strong money transfer constant currency revenue growth of 10%. The segment reported operating income of $40.1 million and an operating margin of 11%. On an adjusted basis, operating margin was 12.6% in the quarter, down from 13.6% in the prior year due to higher commission and compliance expense. Direct monitor costs negatively impacted segment margin by 68 basis points. Commission expense as a percentage of GFT revenue was approximately 50 basis points higher than last year related to faster growth in higher commission corridors and the previously disclosed increased commissions rate related to certain key agents. In 2014 we anticipate that our money transfer commission rate will increase slightly, but will fluctuate throughout the year due to corridor mix. The Financial Paper Products segment continues to perform well. While transactions declined with market condition, our average ticket size increased and solid portfolio management has helped increase returns while one-time returns on legacy investments have also helped to bring value to our bottom line. Total revenue for the quarter was $20.5 million, down 2% compared to the prior year. Operating income was $5.9 million, down from $8.1 million in the fourth quarter of 2012. Operating margin was 28.8% and adjusted operating margin was 30.2% in the quarter. As Pam outlined earlier, 2014 will be a year of increased investment as we launch our global transformation program. At this time, I’d like to provide you with a few details on those investments. To implement our compliance enhancement program we expect to invest $80 million to $90 million in cash over the next three years for the project with about half of the outlays in the form of one-time expenses and the other half in capitalized expenditures. In addition to the compliance enhancement program, we anticipate incurring $30 million to $40 million in cash outlays over the next two years through reorganization and restructuring activities that will generate annualized pre-tax cost savings of approximately $15 million to $20 million on a run rate basis exiting 2015. These expenses will be reported as incurred over the course of the program. Now turning to our outlook for the full year 2014. We are projecting strong top line growth coupled with solid bottom line performance. Our adjusted EBITDA growth will be somewhat mitigated by our continuing investments in compliance staff, increased marketing investment and a slightly higher money transfer commission rate. We believe these investments are necessary and will best position the company for the future. For 2014, we are estimating total company constant currency revenue growth of 8% to 10% and constant currency adjusted EBITDA growth of 7% to 9%. As I mentioned, monitor costs were not adjusted in 2013, but will be adjusted in 2014. We feel it is important to adjust these expenses in 2014 to provide investors with a clear operating metrics possible. To that end to provide absolute clarity if direct monitor costs had been adjusted in 2013 the comparable estimated adjusted EBITDA constant currency growth for 2014 would be 5% to 7%. As one additional note, in 2014 consistent with our past practice we will be adjusting through reorg and restructuring costs. In addition, as we did in the fourth quarter we will also be adjusting for cost associated with the compliance enhancement program. In 2014, we anticipate a book tax rate of approximately 40%. However, this, as always is subject to our quarterly earnings performance and the timing of any resolutions we may reach with the IRS concerning our ongoing tax litigation matter. With respect to capital expenditures in 2014, we anticipate incurring between $95 million and $110 million for both normal course capital spend and outlays for our transformation program. With respect to signing bonuses in 2014, we anticipate signing bonus payments to be in the range of $70 million to $90 million as many prospects and several large renewals are expected to close during the year. Before turning it back to Pam, I’d just like to add how excited I am from my new expanded role, broader focus on operational excellence. For a global financial company like MoneyGram there is a considerable amount of interaction and shared common objectives among the finance, IT and operations functions. Centralizing these three functions will strengthen the link between disciplined fiscal management and execution as we take on a global transformation program and continue to grow our day-to-day business. Our team is energized, focused and prepared to take on the challenges that the next three years will present. I am confident that we will transform MoneyGram into a faster growing and more efficient company. As always, we will track our programs diligently and communicate our progress to you as we go. I look forward to an exciting 2014. Now let me turn it back to Pam.
Pamela H. Patsley: Great. Thanks, Alex. In anticipation of a question I know you will ask, I want to address the question of Wal-Mart initiating a Wal-Mart to Wal-Mart white label product in the U.S. As you know, the renewed contracts that began in April 2013 provides that Wal-Mart has the ability to introduce a U.S. to U.S. white label product at its discretion and technically they have that right since July of last year. Thus, we do believe that Wal-Mart would like to offer white label products. That said, we’re currently unaware of any definitive plans for product launch including timing, what features, pricing or functionality or how such a product may impact our current business. What we do know is our relationship continues to be excellent. 2013 was a great year for the Wal-Mart and MoneyGram together. Wal-Mart now represents 26% of company revenue. Our company estimates for 2014 do not assume any material change to our Wal-Mart business. We remain focused on the long-term success of MoneyGram, both inside and outside of Wal-Mart and we’re very motivated and focused on protecting our business for both consumers and our agent network. We’re looking forward to a great 2014 and the years beyond as we set our sights on achieving $2 billion in revenue in 2017, which alone, I believe speaks volumes to how far we’ve come. Now MoneyGram has been a turnaround story. We have now cleared the way and are ready to set our sight on a long-term objective and unveiled to all of you just how excited we are about MoneyGram’s future. We are executing against clear, measurable objectives with conviction and our confident in our execution. Our global transformation program is about taking the right steps at the right time to enhance the MoneyGram experience for our consumers and to create long-term shareholder value. With a dynamic and scalable compliance function and improved cost structure and a focus to provide self-service offerings for our consumers, we will be the provider of choice in a very large and growing industry that brims with opportunity for years to come. We’ve executed well in the past on big initiatives and I believe that’s a great predictor of success for the future. Thanks for your time and your interest today. Eric?
Eric Dutcher: Thanks, Pam. Just a reminder to everyone on the phone, we have a lot of people that would be interested in asking a question. So please limit your question to one with maybe a follow-up clarification. Operator, please open the line for question.
Operator: Thank you. (Operator Instructions) And our first question we’ll hear from Tien-Tsin Huang with JPMorgan.
Tien-tsin Huang – JPMorgan Chase & Co.: Great thanks. Alex, congrats on expanded role. Let me ask, I guess, just on the compliance side just because that was a hot topic. I'm curious have you assumed any agent or consumer impact from some of the proposed monitor changes. It sounds like the changes weren’t that different. It was just the timetable, but just wanted to make sure.
Pamela H. Patsley: Yes, I think our compliance things that we are undertaking right now from an agent perspective it’s just kind of what we’ve been doing the last several years, I mean that run rate of agents come and go, we have to turn some off for reasons of compliance, safety, security credit. All those things are still in place and that churn just continues and we don't see that really accelerating or changing. And if anything we've really kind of focused and tightened kind of the qualifying of our agents. So I think you won't really see a big change there. We called out some impact in Italy from compliance limits. Those really, Tien-tsin, had nothing to do with anything per se coming from the monitors. That's just what our compliance department says everyday and it was specific to a quarter. There were some bad activities going on, particularly Italy to China and we turned really relative to our 336,000 literally a handful of agents off.
Tien-tsin Huang – JPMorgan Chase & Co.: Okay. That’s good know. And then, just I guess follow through on the agent commentary, the commission expense doesn’t sound like any big changes for 2014, but the signing bonuses, I guess built on this data at a higher elevated level. Is that because you’ve got some larger new deals and renewals? Just maybe anything you can share on that front will be great. That’s all have.
W. Alexander Holmes: Yes, that’s a great question. I think when we forecasted 2013 we certainly assumed some heavier signing bonuses in that year. I think we came at around $45 million. There have been a few contract renewals in 2013 that will require signing bonus payment. Those payments haven’t been made yet and some of those have carried into 2014. In addition to that I think we did talk a little bit last year about cycles of these things and we do have quite a few large agent renewals along with a couple of key prospects that are stacking up here in 2014. And so I think that’s great, I mean that shows kind of the opportunity and the business. These are some of the bigger ones. It’s not a collection of smaller ones, but it is several on the larger side that are kind of adding up to those bigger numbers.
Tien-tsin Huang – JPMorgan Chase & Co.: Okay, great. Good to know. Thanks.
Pamela H. Patsley: Thanks.
Operator: And next I move to Smitti Srethapramote with Morgan Stanley.
Danyal Hussain – Morgan Stanley & Co. LLC: Hi, this is Danyal Hussain calling in for Smitti. I guess I just wanted to ask a little bit more on the restructuring. So are these cash outlays, I guess $30 million to $40 million, do you expect them to be pretty evenly split in 2014 and 2015? And then, do you expect the savings to take Old Navy and starting in 2014? I know you gave that run rate for exiting 2015. Thanks.
W. Alexander Holmes: Yes, that’s another good question. When you look at kind of the array of opportunity in front of us we’re going to be spending the next 60 to 90 days really finalizing plans and having internal communications with those areas that will be affected, but when you think about facilities and headcount rationalization, system process efficiency and think about headcount right-shoring and outsourcing opportunity, it flows across a variety of areas and some of that will take some time to implement. I do anticipate at this point that we will have quite a bit of spend in 2014, but we do not have any forecasted savings flowing through. Just really based on kind of the large size of the undertaking and a variety of different things sort of flow into that bucket. So right now we have most of the savings planned for 2015, but as we finalize those plans we’ll able to share more probably on the first quarter call and have a better idea if there will be any savings that will flow through in 2014, but right now we don’t have any planned.
Danyal Hussain – Morgan Stanley & Co. LLC: Okay. And then, may be just on the self-service. So by 2017, looks like you are targeting about $300 million, $400 million in revenue. So maybe you can just talk a little bit about what you expect and where are the investments to be focused? Is this primarily online with some in kiosk or is it going to be elsewhere? Thanks.
Pamela H. Patsley: I think that’s generally a good assumption that it is. Self-service encompasses all those things, online, kiosk, account deposit, expanding on mobile. So it’s really a balanced approach and that’s how it is going to – they’re looking at all of those things, not emphasizing one over the other.
Danyal Hussain – Morgan Stanley & Co. LLC: Thank you.
Operator: And next we’ll hear from Georgios Mihalos with Credit Suisse.
Georgios Mihalos – Credit Suisse Securities LLC: Hey, guys. Thanks for taking my question. I know you guys discussed about increasing your marketing around some of the non-traditional than your emerging channels. Can you give us a sense of what you expect your marketing expense in aggregate to be as a percentage of revenue in 2014? Will it move up materially from 2013?
W. Alexander Holmes: We ended 2013 right around 4%. We’ve been saying that we’d be spending between 4% and 4.5%. I think we probably collectively based on a variety of decisions came out at the lower end of anticipated expense in 2013. For 2014 we are going to be ramping that back up. And so, I’d say the range is still 4% to 4.5%, but at this point we anticipate being at the higher end of that range.
Georgios Mihalos – Credit Suisse Securities LLC: Okay, great. And then, as you think through the revenue guidance for 2014 implicit in that, is that kind of a 1% or 2% pricing delta, kind of what you’re looking for in 2013 as well or any change there?
Pamela H. Patsley: No, it’s about that same, about 1% to 2% which we’ve been saying consistently the last few years buying any major changes like in late 2009, the introduction of the $50 price band and as we called out for you in spite of a lot of competitor discounting, we realized a 1% kind of impact from pricing. So we were really, really pleased with 2013 and that’s kind of the expectation we’re going into 2014.
Georgios Mihalos – Credit Suisse Securities LLC: Okay, great. I’ll hop back in the queue. Thank you.
Pamela H. Patsley: Thanks.
Operator: And we’ll move on to Sara Gubins with Bank of America Merrill Lynch.
Sara Gubins – Bank of America Merrill Lynch: Hi, thank you. Just following up on that. Have you seen much of a need to adjust pricing more significantly in particular quarters to react to competitive dynamics?
Pamela H. Patsley: We did in the fourth quarter make some moves in parts of Europe where I think throughout the year we had been saying that was where we were feeling at most. We did not really make any in our large U.S. markets, and Sara I would say those were a more surgical application of some price moves as opposed to broad and sweeping and [indiscernible]. We still like revenue around here.
Sara Gubins – Bank of America Merrill Lynch: I just wanted to make sure that I understood the difference between the 5% to 7% EBITDA growth forecast for 2014 versus the 7% to 9%. So if I understand it correctly, the 7% to 9% would be 2014 not including increasing compliance cost for 2013 did incorporate compliance cost. Is what the 7% to 9% is?
Pamela H. Patsley: No, in a word. The 7% to 9% is our adjusted EBITDA 2014 over adjusted EBITDA 2013 and the one delta is just the direct monitor cost. We did not adjust those in 2013. So that is why we’re saying had we adjusted those in 2013 and it were kind of like-for-like measurements then you go to the 5% to 7%.
Sara Gubins – Bank of America Merrill Lynch: Got it. Okay. Thank you.
Operator: And we’ll move on to Cris Kennedy with William Blair.
Cris D. Kennedy – William Blair & Co. LLC: Good morning. Thanks for taking the question. Two questions on the long-term guidance, I mean, one, can you talk about the $2 billion? Is that organic and inorganic or can you just kind of talk about that?
Pamela H. Patsley: Yes. To be clear, I’m sure there is like a ton of lawyers at MoneyGram, going to say how well I do on this, but $2 billion is technically not guidance. That is, I would analogize that to over to the last two years, you’ve been hearing from me, ad nauseam. We are focused on double-digit, double-digit, double-digit. We needed a new rallying cry. We needed a new point to put out there for the energized and MoneyGram team to go forward. So that is our $2 billion initiative. That's just a semantic clarification and it is mostly organic.
Cris D. Kennedy – William Blair & Co. LLC: Okay. Great. And then, you alluded to higher EBITDA margins by 2017. Is there any way to frame that given the restructuring in the business mix shift?
W. Alexander Holmes: I think that in line with the goal there as we map out and kind of look at where we think EBITDA growth can go from the core business and then from the new products going along with the cost takeout opportunity, that’s kind of as much as we can probably elaborate on right now, but I mean, we do anticipate that those margins stabilize and then continue to improve from there. I think it's important to think about not only the global restructuring program. We’ll create a lot of efficiencies and take out some cost. We certainly anticipate opportunity with the new self-service channels generating incremental revenue growth. And then, the compliance enhancement program itself should allow us to create some good scale and some leverage in the business as well as we really automate some systems in a more wholesome way over the next couple of years.
Cris D. Kennedy – William Blair & Co. LLC: Great. Thank you.
Operator: And we’ll move on to Kevin McVeigh with Macquarie. 
Kevin D. McVeigh – Macquarie Capital, Inc.: Great. Thanks. Could you just help us understand when you talk about you prevented $365 million of fraud losses, $135 million in 2013, how does that impact your income statement?
Pamela H. Patsley: We have paid commission on those transactions to the vendor, because – but we have stopped that transaction from going through and getting pick up and that consumer then goes back and picks up the money. So it really never counts as a completed transaction. Whatever reason our [indiscernible] system, it puts an alert, a hold on the money. The call, we interview this vendor and it's amazing to listen to some of these calls. Our folks do a fantastic job. Their patience and working with people that believe they have won a lottery, they believe they are helping someone in need and just generally walking them through that, but you really don't know this person. If you win lotteries you don’t ever have to send money first via money transfer companies. So it’s that kind of thing what they do. So that transaction kind of gets soft, interdicted and interviewed or whatever and then they come back and then refund.
Kevin D. McVeigh – Macquarie Capital, Inc.: Got it. And then just, with this step up in implying, what do you think it does to pricing over the long-term and then specifically the competitive environment? I mean does it make more people like the business, just given the incremental costs or how do you think about that over the next couple of years?
Pamela H. Patsley: Well, if everyone tells the same standard one would say that should be an impediment to entry or making this an attractive business for those just starting flat footed and desiring to go into this business. But I think we all know that interpretation of Regs and monitoring of implementation and compliance isn’t always as even handed across the board. So large focused, the focus tends to be on the larger players, but assuming that it clearly would be an impediment to entry. I think from a price perspective that is why it is so important for us with our global transformation program, why we identified it as having three pillars, a growth element, a compliance element and an efficiency element because we want to continue to offer a very competitive and value proposition to our consumers. This world over is the slice of the world population that is just not served by traditional financial institutions and there is nothing happening in the regulatory environment that is opening that up for that slice of the community, just because of what traditional bank regulations are requiring of them and their fee and pricing structure. So we very much want to continue to focus on the consumer at the end of the day and a value proposition for our agents.
Kevin D. McVeigh – Macquarie Capital, Inc.: Understood. Thanks.
Operator: And move on to David Scharf with JMP.
David M. Scharf – JMP Securities LLC: Hi, good morning. Pam, I just want to get a little more granularity on compliance. The $80 million to $90 million over three years, and if I heard it correctly, it sounded like half would be expense and half capitalized. Is there a way to segment that $80 million to $90 million and to maybe broad buckets of company specific monitor expenses? Secondly, CFPB recent rule making expenses and then maybe a broad other category, but trying to get a sense for how much of it is really company specific from your settlement with the DOJ versus CFPB and other.
Pamela H. Patsley: CFPB is not a big part of that at all. The big spend of CFPB have flown through. We implemented their world and the costs really from that flow through our P&L line and honestly the cost have increased paper costs, because the receipts are now so darn long to put all their disclosures on it. So that’s how that’s flowing through. So barring new requirements from CFPB or anything that would not be any measurable element at all of the $80 million to $90 million. So the other thing that’s not in the $80 million to $90 million would be the fees that we incur from the monitor. So what they bill us for their time, their expenses, their G&A, their pass-through of other vendors they bring in on and on and on, that’s what we’re calling out. That is what was 6.1 million from 2013 and we’ll be calling it out quarterly and adjusting going on. So what is in that $80 million to $90 million would be our cost to develop and respond to items in the monitors report, it also includes just what we were doing on our own to continue to enhance compliance. So it’s build its system licensing purchases, its integration that our IT folks, our compliance folks. So it’s that nature, but Alex will probably give you a little more color.
W. Alexander Holmes: Yes. To add to that when you look at the $80 million to $90 million, it really stands and falls in the kind of two buckets and it’s really the cost for implementing the recommendations from the monitor report, which were obviously then consistent with the requirements from the initial language in the DPA. I think there’s an aspect of that of remediation, which is catch up on a few things on some filings and sort of things that they found us to be needing improvement on and then obviously then there is a lot of it that’s related to kind of overhauling systems and processes and maybe overhauling. It’s not right as much as sort of upgrading and creating using the best-in-class tools that are out there today and I think we look at that really in four buckets. We talk about it from enhanced consumer due diligence, which is understanding the consumer better upon transaction. It’s a global case management system to sort of track and monitor performance and monitor cases that are created. It’s implementation of a new and enhanced rules engine to help us write, better enhance fraud rules and monitor transactions around the world and then obviously we have aspect of it. We’ll be considered to be global aggregation, which is really looking at the amount of money send across various corridors and being able to track and report on that in a more wholesome way. So when you kind of roll those up we do all of that today. We just do it very differently and so there is kind of upping that, overhauling some of those processes and then obviously moving that to a much more robust best-in-class global compliance organization and so that’s really what’s in that $80 million to $90 million.
David M. Scharf – JMP Securities LLC: Got it. That’s really helpful. And Alex, I guess the comment that this was the timeframe, I was impressed from what you originally sought in the November report. I guess the $80 million, $90 million list is over three years. Can you give us a sense for how much of that’s over the next 12 months?
W. Alexander Holmes: Well, if luck is any indication it will be a lot of it. The way things have kind of gone, I think buying a lot of the tools and systems kind of comes first and then as we’ve actually done and started doing in the December timeframe, and then bringing any experts to help map processes, go through kind of the change management controls and then actual implementation of those and then sun setting of those systems. A lot of that, particularly on some of the case management rules engine pieces are kind of in a much accelerated process and much sooner in the timeframe and then a lot of the other pieces and stuff we do today. And so those will be enhanced as we go along, but I don’t want to say something like the bulk of it, but a good portion of it will be in 2014 to really get the program going into and to achieve those accelerated timelines.
David M. Scharf – JMP Securities LLC: Got it. Hey, can I have a quick follow-up on the signing bonuses. It sounds like obviously some of them got question to enter this year and there is some sizable renewals. When we look at the aggregate of $70 million to $90 million, can you tell us how many agents in aggregate are represented by or under those bonuses you have a percentage of the network that basically is a up for renewal or is in the pipeline that’s supported by that figure?
W. Alexander Holmes: Yes. You know I’d love to, but we operate in a fairly competitive environment, and so certainly don't want to point anything that's going to impact our opportunities there, but I think as we entered earlier there are some large ones in there and then we do have a variety of new opportunities around the world, those kind of varying size.
David M. Scharf – JMP Securities LLC: Okay. And I apologize for one little follow-on, but just to clarify once again, the EBITDA, 7% to 9% and 5% to 7%. I assume the 5% to 7%, is that pulling out monitor cost for both years?
Pamela H. Patsley: Correct.
W. Alexander Holmes: Yes.
David M. Scharf – JMP Securities LLC: So the implication is that monitor costs are down in 2014 from 2013?
Pamela H. Patsley: No.
W. Alexander Holmes: No. The implication rates are being pulled out of both years. So if they materially increase you won’t see that.
David M. Scharf – JMP Securities LLC: Yes, but I guess the reason I ask, if monitor costs are higher in 2014, which is…
Pamela H. Patsley: But they’re going to be pulled out of 2014. We’ll go through this when we talk to you separate. We got people on the queue. If they are pulled out of 2014 and they did not get adjusted out in 2013 that’s why we see a higher growth rate. That’s why we have 7% to 9%. When you pull them out of both years, you now go back and pull them out of 2013 you get 5% to 7% like-for-like adjusted EBITDA.
David M. Scharf – JMP Securities LLC: Got it. Thank you.
Pamela H. Patsley: Yes.
Operator: And we’ll move on to Mike Grondahl with Piper Jaffray.
Mike J. Grondahl – Piper Jaffray, Inc.: Agent growth of 8% in the quarter was down from where it has been the last several quarters. Can you speak to that a little bit?
Pamela H. Patsley: Sure. As I always said, that’s going to fluctuate in any given quarter or whatever depending on network that was added the previous year. In 2012, we had several really significantly large networks that came on board, Dollar General fourth quarter last year, CFT Russia, Russia retail business, some of that also blend into 2013 early, but a lot was loaded in the last part of 2012. So it’s just really a matter of growth. We are extremely pleased with our continued network expansion and there is no lessening of the desire to grow that network and in fact I would say from where we stand today where we were a year ago we have more sales people in the field.
Mike J. Grondahl – Piper Jaffray, Inc.: Okay. And then, investment revenue was down sequentially from, I think, $7.2 million to $4.1 million?
W. Alexander Holmes: Yes.
Mike J. Grondahl – Piper Jaffray, Inc.: What caused that decrease?
W. Alexander Holmes: It’s really the timing of some of those legacy investments that come through. They’re very lumpy when they come through and payoff. It is kind of the reminisce of some of the security investments that we held on to from days of delta. It was about 3 million in the third quarter and so that really accounts for the bulk of that delta. I think from a rate perspective and kind of a yield on the portfolio that’s actually improved year-over-year sequentially. The team has done a really nice job there in this limited interest rate environment and with our conservative investment profile. They’ve actually done a really nice job improving that several basis points in getting a bit of a higher return, but that lumpiness is really related to those legacy investments.
Mike J. Grondahl – Piper Jaffray, Inc.: Okay. Thank you.
Operator: And next we’ll move on to Rayna Kumar with Evercore.
Rayna Kumar – Evercore Partners: Good morning. Just a follow-up from the previous question. Can you please quantify your target, agent location throughout in 2014?
Pamela H. Patsley: We have never given target for agent location growth. So that’s just something we’ve never done. For us, it’s all about agent productivity, ensuring coverage, having the agents to emphasize our corridor growth. So we look at...
Rayna Kumar – Evercore Partners: Did you pass ballpark like low-double-digits or high-single-digits?
Pamela H. Patsley: We’ve never given that. We want to continue to aggressively grow our agent location network and that’s exactly what we are going to continue to do.
Rayna Kumar – Evercore Partners: Okay. Could you discuss your capital allocation priorities for 2014?
W. Alexandre Hoffmann: Sure. Well, clearly the transformation program is an important part of that. As always we have the ongoing capital spend to invest in just ongoing projects and information technology and operations, sales and compliance. Obviously products increases related to not only our current products, but also the expansion of the self-service channels will be a component of that. And then, signage is always a big important aspect of our spend and that’s probably the other big bucket.
Operator: And Miss Kumar, will you go with your question?
Rayna Kumar – Evercore Partners: Thank you.
Operator: And next we’ll move to Kartik Mehta with Northcoast Research.
Kartik Mehta – Northcoast Research Partners LLC: Hi, good morning. Pam, you talk about investment in the self-service side of the business. Is that investment just related to organic investment or does that investment include having to make some acquisition to grow certain parts of those businesses?
Pamela H. Patsley: It’s primarily organic, I mean, it wouldn’t include any acquisitions that might be acquiring a software solution or something like that. But it’s for us to build out and complete and have a more robust product offering.
Kartik Mehta – Northcoast Research Partners LLC: Alex, you talked a little about money transfer commissions increasing. Is that related to the renewals you’ve done and maybe some of the renewal contracts you got designed or was this just newer agents maturing more and moving up to a different tier and commission and that’s what will cause 2014 commissions to increase on the money transfer side?
W. Alexandre Hoffmann: That’s a great question, Kartik. I think if you look at that the components of what drives that certainly there is kind of the core rate that we offer to agents. Certain agents in certain markets are also tied to some incentive programs as well, particularly in kind of the non-exclusive markets where you kind of position your products in front of others. And then there is obviously the signing bonus that flows through that number as well. So I think we’ve seen an uptick. In signing bonuses we’ve also seen a little bit of uptick in some of those incentive payments, which actually has worked out very well for us. I think if you go back and look at the pure rate, I mean a lot of that is mix. We’ve talked about a couple of – one particular new agent and then a resigning that had the political pressure on that, but the mix of business for those agents has been great and the volume has been great and then that’s really been the driver. I think if you went through and normalize it out a couple of exceptions I think you’d see the rate has been relatively stable on a kind of global basis.
Kartik Mehta – Northcoast Research Partners LLC: Thanks. I apologize. Just one last question, Pam. How much has Wal-Mart discussed its product with you? Have you had discussions with them or is this that you’re just starting to learn about it and you have to react when it happens?
Pamela H. Patsley: Yes, I mean it’s clearly something from a – they would like the ability to do it, but then discussed for a while thus it was in the contract. And so, it’s a little bit more I think best to just kind of – it’s hard to characterize day in, day out conversations and things. We have people there, half a dozen or so people located in Bartonville. They work with Wal-Mart. So this would be trying to give you just a boil down perspective with what I said on the call and that’s about the best I can give you.
Kartik Mehta – Northcoast Research Partners LLC: Thank you, very much.
Eric Dutcher: Operator, I think we have time for one question.
Operator: Okay. Our final question will come from Glenn Fodor with Autonomous Research.
Glenn T. Fodor – Autonomous Research US LP: Hi, good morning. Thanks for taking my question. Pam, in the channels you’d characterize as, “emerging markets”. Can you talk about the latest trends you are seeing and how the volumes reacted in January when January to February when all the turmoil started?
Pamela H. Patsley: Yes. So the word emerging and we’ve realized that even internally was getting confusing because we talk about – a lot of times we describe Grant Lines and the region he runs is including emerging markets, because Asia, Asia Pac, South East Asia, Middle East, new places for MoneyGram, developing places for this business, I mean we kind of use the word emerging channel when we talk about some of the products that functionality through Alex Hoffmann’s group. We are trying to clarify that by when we speak about self-service not to also use the word emerging. Now, to your question, we are really kind of in the broad bucket of self-service speaking about MoneyGram online and mobile, kiosk-based businesses, ATMs, working with Vodafone, mobile wallet, account deposit. So all these things one could say they’re emerging and that they are growing rapidly. They are developing. I like to call them category expanders for the whole industry. So we just wrap that into it’s all really self-service on either the send or the receive side. And so we’re very, very focused on that. I think we’ve spend quite a bit of time. I would say from a geography perspective we are no less focused on what I would call emerging markets, emerging geographies or corridors and that is continuing to build out that Middle East to South East Asia and beyond, continuing to focus aggressively Eastern Europe, Russia, CIS, intra-LAC, LAC send, LAC received and then of course Africa is just nothing, but a continent of opportunity for us.
Glenn T. Fodor – Autonomous Research US LP: Okay. Thank you. And then, sorry if I missed the new ones, but on the $30 million or $40 million expense bucket for restructuring, just to make sure I’m clear, have you misrelated to compliance and build out a wrong line in self-service or is just everything outside of all that?
Pamela H. Patsley: This is really outside of that. This is really the $30 million to $40 million that it would take for if there were when we talk about facilities rationalization, headcount rationalization locating in a lower cost environment. It is all about lowering our cost. What job, how can we do that job for less, how can we get that function, how can we get that process done, is it systems than and process efficiency right-shoring, all those kinds of things that’s what goes in that $30 million to $40 million, which then provides the backdrop and kind of, again, as I’d like to say the company has continued to mature. We’ve continued to mix through a lot of large legacy issues. I think you can look to our execution, see if we’ve successful, good execution. I hope you all feel that the company is managed by, as I’d liked to say, lately these days a collective of big management team in a safe pair of hands and that’s exactly what we intend to do and carry forward. And so, it’s about turning that dial one more – couple of ratchets, tightening down the cost structure to allow us to invest for growth and to allow us to comply with the increasing regulatory oversize.
Glenn T. Fodor – Autonomous Research US LP: You bet. Thank you.
Pamela H. Patsley: Very good. I think that’s the end. We took a lot of time today, but I hope you’ll find it helpful and useful information. And we look forward to visiting with many of you throughout the morning and into the afternoon. And as always, thanks so much for your interest in MoneyGram. It’s a great company. We appreciate it.